Daniel Sundahl: Good morning from Asker [ph], ladies and gentlemen and welcome to TOMRA's First Quarter Results Presentation for 2024. My name is Daniel Sundahl and I'm Head of Investor Relations. Today, our CEO, Tove Andersen, will give you the highlights of the quarter and also dive a little bit deeper into our feedstock initiative. And afterwards, CFO, Eva Sagemo will dive deeper into the numbers. At the end of the presentation, we will open up for Q&A for participants in the Teams webinar. A link to the Teams webinar can be found in this morning's stock exchange release as well as last week's invitation. With that said, I give the word to CEO, Tove Andersen.
Tove Andersen: Thank you, Daniel and welcome from me as well to the Q1 results presentation. The quarter landed as expected. The Collection business continued a strong momentum from Q4 and delivered good growth and good profitability. Recycling and Food delivered revenue in line with the backlog conversion ratio communicated at Q4 but with lower revenues, the profitability in the quarter is impacted. However, I'm very pleased to see that we have a solid order intake in the quarter and we end the quarter with a record high combined order backlog for Recycling and Food. This gives us a solid foundation for coming quarters to lift both revenue and profitability. In addition, there has been some exciting developments in the external environment the last days which I also will come back to in my presentation. But before diving into the business update, let me run through the highlights for the quarter. The total revenue ended at NOK3.3 billion, that is then flat versus the same quarter last year. We were up 15% in Collection and down 16% in Recycling but that is compared to a very strong Q1 in 2023. So this is actually the second highest Q1 we have in Recycling. And we are down 15% in Food. The market sentiment there is more or less the same as we have seen in the last 2 quarters. The gross margin ended on 40%. We have an improvement in Collection compared to last year with 1.7 percentage points. However, it was negatively impacted -- the overall gross margin was negatively impacted by lower volumes in Recycling and Food. There is no underlying reduction in product margins but we do have a certain fixed cost element in the COGS. So when the volume is down, we will also then have a reduction in the gross margin. Operating expenses ended on NOK1,157 million adjusted for special items and has a flat development compared to fourth quarter 2023. We have built capacity over the last couple of years within our OpEx space, in line with our growth. And we believe at the current level, in Collection and Recycling, we are well positioned to capture the future growth opportunities. While in Food, we have good progress on the cost reduction program which will give a gradual decrease throughout the year on the OpEx. This gave us then an EBITA adjusted for special items of NOK176 million and the one-off cost that we have adjusted for are NOK18 million related to Food restructuring. Cash flow for the quarter was NOK228 million. And as I already commented on, we had a solid order intake in the quarter, NOK881 million for Recycling and NOK924 million for Food. So this gives in Recycling the highest order backlog ever. And in Food, we had the third highest order backlog. In TOMRA, we have an ambitious strategy. We believe that we are uniquely positioned to take advantage of the global megatrends linked to sustainability and food security. And our strategy is to accelerate growth in core and develop adjacent opportunities while we will become a fully circular business and a safe and fair and inclusive place to work. As part of our strategy, we have set ambitious targets towards 2027. We wanted to double our business versus '22 and to lift our EBITA margin to 18%. In addition, we have targets linked to dividend, capital structure and our sustainability targets. We are progressing well towards these targets within the Collection and Recycling and Horizon businesses. However, we had the setback in Food last year which we are tackling. And we are working hard to mitigate the impact of that so that we can still aim to meet our targets set in 2022. And we will deliver on this strategy and ambitions through our businesses. And when we then talk about core, we talk about our 3 divisions, Collection, Recycling, Food. And when we talk about adjacent we talk about our Horizon portfolio. And I will first give an update on our core before I dive into Horizon. We'll start with the Collection business. Collection had a very strong quarter, Q1 2024. We saw strong sales in all regions and we also saw continued sale in the recently launched new deposit markets, including Hungary, Romania and Ireland. We also saw good throughput volume development in Victoria. Victoria went live with the deposit scheme late last year and it's a throughput market. So we had to -- all the costs already last year but you just get the revenue now as the beverage container volume increases. Also very pleasing to see in the quarter is the early successes that we have had now with new product -- introduction of new products into the market. We have talked before about R2, our new multi-feed solution and also the RollPac backroom solution, where we're utilizing a smaller footprint for the stores to store the same number of containers. So R2 is now in market test in 6 countries which means that we placed it out at our customer sites and they are testing and giving the final input before we finalize the product. So it's currently being tested in the Nordics, Germany and the Netherlands and we have already sold 40 R2s. And on the RollPac backroom solution, we have already sold 500 units. So this is great to see because as part of our strategy in Collection is also to drive growth in existing markets through innovation and these 2 new products are really showing that we are able to deliver on that part of our strategy. Then there was some good news yesterday from the U.K. The 4 governments in U.K. has agreed to take a collective approach to developing and align deposit return scheme across the U.K. And they have indicated a go-live date of October 2027. And the objective is also to have the regulations in place by spring 2025. So this is a significant step forward for the U.K. And it shows their commitments to go ahead and proceed with introducing a deposit return scheme. But of course, there are still many things to be clarified and developed before they go live. Also on this slide, as normal, we have included the countries that have the upcoming countries that are going to launch a deposit return scheme that has an official decision on it. I'm not going to go through the whole list but I wanted to highlight Poland. So Poland has communicated and passed a legislation to go ahead with a deposit scheme by January 2025. We see that there is a lot of activity currently in Poland, including, for example, that the first system operator have got their license to operate as a system operator in Poland. This is, of course, an extremely interesting opportunity for TOMRA with 38 million people living in Poland, when they go live, they will be the second largest deposit market after Germany and we are now increasing our focus and local presence in Poland to make sure that we are well positioned for when Poland will go live. Over then to Recycling. So the revenues in Recycling ended in line with the expected lower backlog conversion ratio. This is driven by that we had a low order intake in Q3 last year but also that we have a larger share of large orders in the order backlog. Overall market sentiment continues to be soft in the plastics market, especially in Europe. There are, as you will see on the graph here, small signs now that there is an uptake on plastic prices but we still don't see any impact on that in the current market sentiment. However, the waste management sector is strong. So I think it's good to see that even with a somewhat weaker market sentiment in plastic recycling that we had then a solid order intake in the quarter and that we have an all-time high order backlog by end of Q1. And we still believe that we will see growth overall this year versus last year. Some exciting developments in the quarter is that we had the first sales of our AUTOSORT PULSE. We have talked about that before in our quarterly presentation. So this is our new sorting machine where you can then sort aluminum scrap into really alloys. And that is important to enable a closed loop recycling for aluminum and not get the aluminum downgraded. So very nice to see now that we have got the first orders coming in on that machine. Also, last quarter, I talked quite a bit on AI and what we are doing on AI in Recycling. And this quarter, we launched then our AI-based OBTAIN for ore sorting and GAINnext for the Recycling business. These are add-ons to our existing sorting machines to increase then the quality of sorting. One example of what this can do. So the GAINnext for AUTOSORT, one thing you can do there is that we can then be able to identify food-grade plastic from nonfood-grade plastic. It could be exactly the same plastic. It could be PET in both which are typical sorting machine with not able to then distinguish between if it was food grade or nonfood grade but then adding object recognition, we can then do that sorting as well. Again, very important for enable closed-loop recycling. Then I said in my introduction that there are some interesting external developments. So we had U.K. came yesterday and 2 days ago, we had the packaging and the packaging waste regulation that passed in the EU parliament. So what is really this legislation about. It's a very comprehensive legislation that has a lot of new obligations across the whole value chain to drive circularity. And it was good to see that it passed parliament because it then also showcase the commitment that EU still has towards the green agenda and it passed with a significant majority of 75.6%. It's a huge legislation. We have just picked here a few of the key elements that are relevant for TOMRA and I will take you through, it is quite a lot of information on 1 slide. First of all, in this legislation, there is recycled content target for all plastic packaging. What we already had is that we had recycled content targets for PET beverage bottles but now it is for all plastic packaging. This is going to be an important driver for increasing the recycling capacity and as we all know if you're going to increase the recycling capacity and recycled content, you need to both extract the material from waste streams and you need to sort it into fractions that can be recycled. So this is a good support for our recycling sorting business. In the legislation, there are also reuse obligations but there are not firm targets for takeaway packaging that was discussed as part of legislation. But what there are is that there are several obligations for the takeaway and HORECA businesses to provide them options of reusable packaging and there is an ambition to put into legislation of a 10% reuse offer from 2030. When we then talk about the deposit return and what's in the legislation for that. This legislation endorses the targets in the single-use plastic directive but what it does in addition is that it also talks about and legislate how we're going to achieve those targets. So what's put into this regulation is that by 1st of January 2029, there is a requirement to set up a deposit return scheme to ensure that they meet -- the countries meet the target set in the single-use plastic directive of 90%. Also, what is added in this regulation is that metal cans are included. So the previous target was only for plastic or PET bottles. There is possibility for derogation of this legislation but then a country needs to meet 80% collection targets by 2026 and they need to submit the plan beginning '28 showcasing how they're going to get up to 90% and get that approved. So we have always said that to meet the targets in the single-use plastic directive, you need a deposit system and now you get that into a legislation. Also, in this legislation, there is a target set, that by 2030, 10% of all beverage containers put on to the market, they should be in reusable packaging or refillable packaging. And of course, when you have refillable packaging, you need to have a system to collect this packaging and get it washed clean and back into the market, so you need a deposit scheme put in place to do that. And also, it's an encouraging this legislation that, that should be combined with the deposit scheme for single-use beverage containers as well. There's also other things in the legislation linked to waste management that is going to enable circularity. For example, everything needs to be recycled by design by 2030. By 2035, it actually needs to be recyclable in practice using installed infrastructure and established processes to ensure then that more than 55% of packaging per material category gets recycled. So again, this is a good driver for our recycling business. So a very important legislation, a significant step forward in EU towards circularity. What will happen now is that this needs to go a second round in the autumn, first through the Parliament and then through the Council to be formally approved. We estimate that to happen latest by Q4 next year before it then goes into force. And then when it goes into force, there will be a lot of secondary legislation that then details out what these targets and obligations means in practice. Then over to our Food business. For Food, we had low revenues in Q1. Q1 is always the lowest quarter for Food due to seasonality but also we had a soft order intake in third quarter which then responded to the revenues that we then saw in Q1. However, it was slightly above the conversion ratio that we indicated and estimated in Q4. Overall market sentiment is more or less the same that we've seen in the last 2 quarters. We see that it is still a soft market sentiment in fresh food, while processed food is a better market sentiment. And especially, we see that the potato category continued to perform very well. Despite this, we had a solid order intake in the quarter and we have a good order backlog going into Q2. However, in Food, the focus is actually not on revenue for this year, it is about profitability. And we see that the cost reduction program and the restructuring that we are implementing is progressing according to plan. We aim to save €30 million by end of this year and to be at a 10% to 11% EBITA run rate by end of the year. So I talked before about some of the things that we are doing as part of the restructuring. The majority is about reduction of employees and that is progressing according to plan. I also talked about that we are optimizing our footprint, closing offices, consolidating production in Slovakia and that is also progressing according to plan and we have now the first products moved there already and being produced in Slovakia. We're also working on harmonizing our product portfolio and phasing out the legacy products. These consume maintenance time for R&D and complexity for our service organization. And so far, we decided to take out 8 legacy platforms. And also, we are focusing our R&D on really core technology and core categories. And it's great to see that despite all the focus now on cutting cost and restructuring food, we are able on those focus initiatives to progress on innovations which will be important for us going forward when we are through this phase and when the market comes back again to really capture the future growth in this business. And as examples of this, the Fruit Logistica took place in the quarter in Berlin which is a big exhibition. And there, we launched some different innovations, including then our AI-powered Neon for blueberries and cherries. So this is for blueberries. And this blueberry innovation is really a pre-grader for machine harvested blueberries. So when you do machine harvesting, typically, you will get the effects coming with this. And this is then taking out those contaminants before we take it through the regular sorting. So great to see that we are able to progress on innovation in a period where the focus is really about cutting cost and restructure to make sure that we are fit for the future. That was the update on our core business and then I wanted to give you an update on Horizon with a specific focus on feedstock. So what is Horizon? So as I said, as part of our strategy, we want to also drive growth in adjacent opportunities. We have, through 52 years, developed a lot of competence, large know-how technologies that are beneficial and can create opportunities linked with the global megatrends, linked to circularity decarbonization. So what we are doing here is that we are looking at how can we use our position and expertise to solve some of the key problems that the world needs to solve and at the same time, develop a profitable and significant business opportunity for TOMRA. Today, we have 3 ventures running, TOMRA Textiles which is all about how can we close the loop on textiles. We have the TOMRA Reuse that we presented in last quarter, solving the litter and CO2 issues with takeaway packaging. And today, I'm going to talk about TOMRA Feedstock which is about closing the gap in plastics recycling. So what is the problem that we aim to solve here? More plastics needs to be recycled. And in this presentation, I will focus on Europe because the current focus on TOMRA Feedstock is in Europe. If you then look at the plastic waste in Europe, in total, that is 32 million tonnes annually. Only 27% of that plastic waste get recycled today. The rest ends in landfill and incineration. If you look at all plastic products that are put into the market in Europe, it's 54 million tonnes of plastic put into the market in Europe annually. The recycled content of that plastic is only 13%. This needs to change if we are going to be able to meet the targets in the Paris Climate Agreement. So then if we dive a bit into the 32 million tonnes of plastic waste, how does the value chain look? So actually, out of those 32 million tonnes only half of these plastic waste is separately collected and sorted for recycling. So the plastic is produced, is converted into product, it is consumed. half of it gets into a separate waste collection. So it's like you at home, you have a bag for plastic, you put it there. That plastic get then sorted and recovered leaving then 9 million tonnes out of the 16 million, only 9 million tonnes of the plastic really gets extracted and sorted and goes into recycling again. which means that 7 million also that volume goes into landfill and incineration. But also what you see on this picture is that the 60 million tonnes of the plastic waste ends in mixed waste collection and almost nothing of that gets sorted and recycled. Most of it will then go into landfill and incineration and of course, have a significant CO2 emissions linked to it. So what we need here is an additional value chain step. There is a missing link and that is what TOMRA Feedstock is about. And our existing customers is typically what you have seen then in the sorted and recovery of separate waste collection. So the missing link is really to take out plastic from this mixed waste collection, sorted, recovered and sorted into a fraction that can be recycled. And the essential expertise in order to do that, it is the sorting expertise. And by doing that, we want to reduce the plastic that goes into landfill and incineration and then increase the plastic available for recycling. And what are then the different drivers behind this business? We see that there are regulatory drivers, there are drivers from the industry and the brand owners. And we also see that there are drivers linked to increased capacity for chemical recycling. So if we then start with the first one, the regulatory push for more plastic recycling. Here, we have already in place, the packaging and the packaging waste directive, not the regulation, the directive. And in that directive, there is a target that by 2030, 55% of plastic packaging shall be recycled. There are debates about what is the actual figures but the latest statistics as of today, 40% is recycled. It means that we have need to increase this capacity by 2030 with 40%. In total, the volume we talk about here is 16 million tonnes. So if you then do this, the increase, it means that we need to have 2.5 million tonnes more plastics to be recycled by 2030 in Europe. A typical feedstock plant, we say large-scale feedstock plant will be 200,000 to 300,000 tonnes capacity. And so if we then estimate for a plant that we have roughly 200,000 output plastics as an output of a plant. This will mean that you would need 13 sorting plants, 13 additional sorting plants in Europe. If you look at then -- this was a packaging and packaging waste directive, I just talked about the new packaging and packaging waste regulation and the target there, above 30% recycled material into plastic packaging. If you do the same calculation on that with the same assumptions on size of plant, this will mean that there will be a need or requirement for 20 more sorting plants in Europe by 2030. And of course, part of that should be then for the mixed waste sorting. If you then look at the industry driver, the brand owner drivers. We see that the industry is committing to greenhouse gas reduction target. And if you look at them roughly the targets being set is that they want to double the recycled content by 2030. If you then look at the 54 million tonnes I talked about earlier that is placed on the market every year. If you're going to double what is being -- or double the recycled content in that volume, you will need to increase the volume or the demand for additional volume of plastic recycled material is 7 million tonnes and that would then convert again to 35 new sorting plants that needs to be established in EU before 2030. And then also, we indicated here, currently, the projects that have been communicated where there is a final investment decision on chemical recycling. So as you see, there is significant drivers for this business opportunity and there is a significant market potential if you calculate it linked to the targets that have been set. And that's why we are investing in feedstock. And so far, we have communicated that we are investing in 2 feedstock sorting plants. A brownfield plant in Germany, 100% owned by us with an investment value of NOK50 million to NOK60 million, 80,000 tonnes capacity and we estimate this to be operational by end of next year. And then we have a plant in Norway which is a joint venture between us and Plastretur. Our investment into the plants for our share is NOK32 million, slightly bigger capacity than Germany and we expect it to be operational by 2025. Also today, we sent out a press release regarding that we have signed offtake agreements linked to the German plants, very pleased with that. We have then signed the offtake agreements with OMV and Borealis. So OMV will use feedstock produced by our German plant to be processed in their recycling plants in Austria. And Borealis will then use feedstock produced by us in their mechanical recycling operations in Europe. And if we now look at the offtake agreement that we have signed for the German plant, we have signed an offtake agreement for more than half of the volume. And these 2 plants are the first steps in building a profitable and sizable sorting business for TOMRA. I indicated the market potential on the previous slide based on the different drivers which is significant and we aim to take a share of that market. And our current thinking is that typically, we will do that in partnership with others as we have done in the Norwegian plant. At the same time, we will have a rigid project selection process and we will evaluate each opportunities, each plant case by case to ensure it meets our profitability requirements. And we then also included in the presentation today some indications on that and how you should think about the cash flow from the plant and also the capital return. So this is an illustrative cash flow on how we typically will look for a large-scale greenfield plant. So you will have an investment period of roughly 3 years. Then you will have a 3-year ramp-up period before you come into steady state production. And some kind of key figures for this, the incoming ways that we take into these plants, typically have a gateway of €30 to €60. These plants will typically have a recovery, a yield, as we call it, of 70% to 80%. So when we talk about capacity, we talk about the volume going in. And then you can estimate that 70% to 80% of that will be the volume going out being sold into the market. Typically, these plants will create 8 to 15 polymer fractions and we will have a payback period on 8 to 9 years. The targeted internal rate of return is 15%, the return on capital, more than 50% and the EBITA around 18%, in line with our company targets. So we believe that this is a very interesting and attractive opportunity for TOMRA where we leverage our expertise and leverage being a first mover into a market and really shaping and creating that market that is needed to close the gap and increase demand for recycled plastics. So that concludes my business update and I will hand over to Eva Sagemo which will go through the financials.
Eva Sagemo: Thank you, Tove. And as always, we start with the group financials. First quarter results are in line with our expectations. So we delivered a flat top line growth on high comparables from same quarter last year. Collection came in strong with good momentum in new and existing markets, currency adjusted up 15% and also delivering good profitability. Recycling is also in line with our estimated conversion ratio coming out of Q4, whereas food came in slightly better but both with lower volumes than last year which then gives a growth down -- a negative growth of 16% and 15%, respectively. And that has impacted our profitability in total this quarter. So revenues for the group ending at NOK3,322 million, so flat year-over-year on the quarter. Gross margins in line with last year, ending at 40.1%. So we see an improvement in Collection. However, that has been offset by the lower margins in Food and Recycling due to the lower volumes on top. OpEx is also in line with our run rate coming out of Q4 adjusted then for inflation and currency and also the one-off cost in Food. So we had an EBITA at NOK158 million with an EBITA percent of 5%, including then the one-off costs in food in the quarter. And then moving over to Collection. And the first quarter was another strong quarter for Collection with continued high activities in new markets, including then Romania, Hungary, Ireland but also Austria and Victoria. The positive market momentum continues also in our existing markets and we experienced good interest in our new machines like R2 and RollPac, as Tove mentioned. So revenues for Collection were up 15% currency adjusted compared to same quarter last year, ending at NOK2,153 million. Gross margins are up 1.7 percentage points compared to same quarter last year. And here, we see that we have -- the effect is coming from the price increases that we have been working through in 2023. Operating expenses in line with the run rate coming out of Q4, gives us an EBITA of NOK348 million and an EBITA percent of 16%. Moving over to Recycling. The revenues in Recycling is in line with our estimated conversion ratio, as we have said, for the quarter, down 16% currency adjusted compared to same quarter last year. The top line was estimated at lower volumes given our backlog conversion ratio or backlog consisting of higher share of larger projects with longer lead times and also the weaker market sentiment in the Plastics segment which we then already saw back in Q3 on the order intake last year. We continue to see good momentum in the Americas and in our core segment, waste sorting. So revenues down 16% currency adjusted compared to same quarter last year, ending at NOK529 million. Our gross margins close to 48% and that is due to lower volumes and also what we would normally see when we have lower volumes, our gross margins will drop because we have a gross margin consisting of then a mix of fixed and variable costs. Operating expenses, NOK245 million, in line with the run rate coming out of Q4. That gives us an EBITA of NOK7 million and EBITA percent of 1%. And then looking at the order intake. So the order intake was down 12% currency adjusted compared to same quarter last year. And it's very important to mention that even if it's down, it's a solid order intake in the quarter. We had a very high order intake in Q1 last year. That gives us an order backlog, an all-time high record high order backlog of NOK1.4 billion which is then up 9% compared to same quarter last year. Moving over to Food. So revenues in Food came in slightly better than our estimated conversion ratio for the quarter, down 15% compared to last year, currency adjusted. And the lower revenues are attributed to the weak market in fresh food in combination then with the seasonal variations with low activity in the Northern Hemisphere during the winter which we always see in the first quarter. So revenues down 15% currency adjusted compared to same quarter last year, ending at NOK688 million. Gross margins at 37%, in line with same quarter last year. Operating expenses is down from Q4 last year which then includes also savings from the restructuring programs -- restructuring program. EBITA at minus NOK65 million which is then adjusted for the one-off costs. And as we have indicated in the last quarter, we will still have some restructuring costs in our P&L this year and we have taken NOK18 million in Q1. Then moving over to the order intake in Food. And also here, we are down 12% currency adjusted. It's a solid order intake for Food ending at NOK924 million. That gives us a strong order backlog also in Food, up 8% compared to same quarter last year. which ends at NOK1,380 million. We continue with a strong balance sheet in TOMRA. We have a 42% equity ratio, a bit higher gearing at the moment, 1.9 due to the lower result in the quarter. Cash flow from operations ending at NOK228 million compared to NOK509 million in same quarter last year which was a very high cash flow in that quarter. Moving over to the financial position. We have a debt maturity profile of 1.9 years and unused credit lines of approximately NOK440 million. We have successfully placed NOK1 billion new senior unsecured green bonds issued then in April and that will be included in the next report. Currency is important for TOMRA reporting in NOK and being exposed to different currencies. We have updated the table now with our exposure. So we have a slightly shift between U.S. dollar and NOK but it's not significant. Looking at the P&L and the balance sheet this quarter, we have some minor effects on the P&L 2 percentage points and the same on the balance sheet if you compare it with the ending balance sheet from last year. The one important note on this slide is that we will change the presentation currency of TOMRA in the next quarter. And we have taken that decision to better reflect the underlying performance in the business and to reduce the currency volatility in our reported figures going forward. And then over to the outlook. As we always say and starting with Collection, high activity related to new and expanding markets will continue going forward. But of course, the performance will be dependent upon the timing of those new initiatives. Starting with the upcoming quarter, we estimate continued high activity but not as strong as we have seen this quarter. Even if the activity in Romania and Hungary which has gone live with their DRS is expected to slow down in the coming quarter, we still expect some activity related to those countries. And also Austria has delivered good activities in this quarter and we anticipate that to continue into Q2. For full year, we estimate still a flattish growth but with an upside potential coming from the activities in Poland. The gross margins should stay above 40% and for the run rate for ramp up, we are still at the run rate for the full year at NOK200 million. But that can increase given higher activities if that will be needed in Poland. So the OpEx run rate going forward will be in line with Q1 as of today. Then moving over to recycling and the outlook. The demand for recycled materials is expected to create attractive growth opportunities for TOMRA. And that has been confirmed also with the regulations for plastic and packaging waste. But with the outlook indicating a more stickiness on inflation and delayed interest cut in combination with the continued softer momentum for plastic in year, we now estimate a low single-digit growth for the year. The recovery in the market which we estimate to come in, in the second half is at risk of being pushed slightly into 2025. Even with a lower growth in Recycling anticipated for the full year, our ambition is to maintain profitability levels in Recycling, with the gross margin in line with previous levels and also by keeping a strong cost management within the division. Looking at the next quarter, so Q2, we always estimate a conversion ratio of the order backlog and we estimate now a 45% conversion ratio of the backlog in Q1 to be recognized as revenue in the second quarter. Then over to Food and the Outlook. It's no doubt that the need for automization increase quality and safety requirements, create opportunities mid- and long term for TOMRA. But the focus now in Food is on growing our profitability, not to grow the top line. We are on a good trajectory with our restructuring program, being on track to deliver 10% to 11% EBITA as the run rate in the end of Q4 and where the cost reduction program is estimated to improve our gross margin and gradually give OpEx savings throughout the year. And then looking into the next quarter, we always hear as well give the estimated conversion ratio and we have landed at a 65% conversion ratio of the given backlog of Q1 based on the information that we have, today that will be recognized as revenue in the coming quarter. And then we have also included a note on Horizon activities. The run rate for Horizon for the full year is still at NOK90 million as a run rate for the full year. And then we have also included capital expenditure activities, so estimate a run rate of €40 million to €50 million which will be then expected to be invested into feedstock and in other activities in Horizon this year. So far in Q1, we have recognized €20 million. And then important to note that as of next quarter, we will then start reporting in euro and not in NOK. And with that, I give the word to you, Daniel.
Daniel Sundahl: Thank you, Eva and thank you, Tove. Before we move over to the Q&A, I'm very glad to announce that we will be hosting a Capital Markets Day on the 5th of September in Alicante, Spain this year. We really hope to see all of you there. We will, of course, host insightful presentations in the morning on our strategy going forward. And we're also very glad to offer you the opportunity to visit a customer site, TOMRA Food customer site in Spain as well as engage with management in small breakout meetings. We will start taking registrations on Monday. So please go to tomra.com on Monday and register. It's important that you preregister.
A - Daniel Sundahl: So with that, we will open up for Q&A. And I see we have a few questions coming in already. We will start with Fabian Jorgensen at Carnegie.
Fabian Jorgensen: Lead times for recycling or conversion -- indicated conversion for Q2 is also quite low. We spoke, Daniel, you said that lead times were slightly up. But should we expect a run rate around the 50% mark for the remainder of the year also? Or should that come up as we go throughout the year?
Eva Sagemo: I can answer that one. It's difficult to estimate per quarter. So we don't necessarily give that so in advance, so we focus on the coming quarter. But what we have seen is that we have longer lead time on the project in general and then especially for the long -- the bigger projects. So yes.
Tove Andersen: Yes. So I think what we see now is that we are getting the share of our order backlog is higher on really large projects where typically they place the order much earlier. And that's why you will see that the conversion rates now are somewhat lower per quarter than in the past.
Fabian Jorgensen: Got it. And on the CapEx here and the illustration you have of, let's say, breakeven cash flow for the sorting centers year 1, is that 2023? Or how should we think about that?
Tove Andersen: Yes. So that is an illustration on the typical plant. So if we invest in the new plant, is from the investment decision is being made and you start in the investment So, for example, on the innovation plant that was last year, so then the first year would have been last year. And this is a typical profile for each plant in a large-scale plant. So that you -- based on that, you can then model based on the number of plants you put in and so forth.
Fabian Jorgensen: Got it. And I mean, you guide on CapEx for the sorting centers. Can you give any color on the total level for TOMRA this year?
Eva Sagemo: So we would run with a normal level that we have seen from last year. It depends on the activities, especially in the throughput volumes. So there, you will see some peaks in between when we go in and invest into throughput. So going forward, we have announced the investment in Canada, so that you need to calculate on top on the running maintenance CapEx in TOMRA, then in addition, adjust for the -- also the feedstock activities.
Fabian Jorgensen: Got it. And finally from me here. The offtake agreements, is it something about 50%? Was that combined OMV and Borealis for the German plant or how to think about that?
Tove Andersen: Yes. So it's those 2 plus that we also have other offtake agreements from the brownfield plant that we have not been able to communicate about externally. And as a combined on the contracts that we have signed so far is half or is more than half of the volume from the brownfield plant and we're currently now also working on offtake agreements from the Norwegian plant.
Daniel Sundahl: And the next questions will come from Elliott Jones in Danske.
Elliott Jones: Just 2 quick questions from me. Just on the recycling side, the margins kind of being squeezed. I know you guys just mentioned that you hope to maintain profitability. Just to check, is that the EBITA level of the [indiscernible]?
Eva Sagemo: Yes. So it's -- as we would expect, in Recycling, we have variations in the gross margin based on what we sell. So that will not necessarily change going forward but we will maintain a good gross margins in Recycling also for this year based on the order backlog and also on the EBITA level.
Tove Andersen: Yes. So maintain is both on gross margin and EBITA level.
Elliott Jones: Got it. And then last one in terms of the Collection segment, I know you guys mentioned Poland, I just wanted to kind of test the time line with you again, how confident just your view, how confident are you that these guys can go live in Q1? And if that's the case, I suppose that means that we should expect some decent contributions in Q2, Q3, Q4 from Poland?
Tove Andersen: Yes, it's a good question. And I'm more confident now than I was in Q4 because we see more activities ongoing on really detailing out the scheme and how it will operate. We see commercial activities happening. We see a company is applying to be scheme operator. At the same time, I would not say that I am confident that they will go live 1st of January. And for us, it doesn't really matter so much if it's 1st of January or if it's half a year later. The key thing is that we're now seeing real activity on the ground in Poland that they're preparing to launch a deposit scheme which, of course, is an extremely interesting opportunity for us. So we are now increasing a bit our investments in Poland, our local presence to make sure that we are ready and well positioned for that.
Daniel Sundahl: And the next question will come from Adela Dashian at Jefferies.
Adela Dashian: Just following up on the deposit return scheme question here. Maybe on Hungary. I saw a comment here that the pace was slightly slower in Q4 -- than in Q4 but then Romania and Netherlands was on the same pace. So could you just explain if there's anything specific that's going on with the Hungarian market that's driving a somewhat slower pace in Q1?
Eva Sagemo: So just to explain how it works first. So Hungary went live early this year and normally when a country goes live, we have placed quite some installations in that country. So it's just a small remaining part that will then be delivered into a country after a go-live date. So taking that into consideration, Q1 has been good for Hungary as well and that it's kind of like a normal activity that the activity will slow down in the following quarters. So nothing specific there. But we see good -- still some good activities in Hungary also expected to be in Q2.
Adela Dashian: Okay. Got it. And then on TOMRA Horizon, I'm sorry if you've already mentioned this, I joined the call a bit late. When do you expect top line momentum to pick up within that payment?
Tove Andersen: Yes. So we have 2 plants being under construction. The Norwegian plant will be up and running during next year, the German plant end of next year. And then you will have a 3-year kind of ramp-up phase on the cash flow. So as we have also shown this typical cash flow profile. You will then have over 3 next years, a ramp-up on the revenue until you then have kind of full capacity. So you will see then that this will come from '26 and onwards.
Adela Dashian: Got it. Okay. And then lastly, if I may, on this provisional agreement that the EU signed in early March, dictating new regulations or, I guess, more focused in regulations on the DRS. Have you already started to see any newer markets, I guess, intensified communications with you directly or anything else in those markets?
Tove Andersen: No. So we haven't seen it directly linked to this but there is, of course, ongoing activities in more or less all markets in the year that doesn't have a deposit system today. And we see this new packaging and packaging waste regulation is just going to be another push, an additional push for these countries. To go ahead and make sure that they are ready on time to go live with the deposit return scheme to meet the targets then on 1st of January 2029.
Adela Dashian: Got it. Would you be able to comment anything on why some politicians in France are so against the system.
Tove Andersen: I think in all countries, when you implement a deposit return system, it is a system that impacts a lot of stakeholders because you are changing how the waste management is handled in that country. In, for example, France, today, beverage containers gets put into the normal bins at the households, driving the volume with waste management. which means that when you introduce a deposit scheme, they will lose volume. And that's why typically, they will be critical to this. It also puts an obligations on retailers that are not used to receive bottles and they are concerned about what will that do with my business? How will I handle it, etcetera? So what we see in France is what we are seeing in all countries, also the countries that have gone live, that there is a lot of questions upfront on how will this work? How will I handle it? What will be the impact for me? What we see after go-live. And if you look at markets that have deposit schemes and you would do surveys, even with all of the stakeholders, they're all very positive to it and the consumers are very positive to it. So what we see in France is what we have seen in many other countries. We don't believe France will be able to meet the 90% collection target without introducing a deposit scheme. And again, the packaging and packaging waste regulation, are not the bonding implementation of this unless they then can ask for a derogation which is quite a tedious process where they also need document very well the collection rate.
Daniel Sundahl: We have 2 more coming in with questions. So we'll take 1 question from each starting with Gaurav Jain from Barclays.
Gaurav Jain: Sorry, I was on mute. So a question on the Food side of things. So if I look at your order backlog over the last 4 years, just from 1Q '20 to now, it is up like maybe like 15%, so per annum growth rate of low single digit. Now the plan that you have for Food assumes that Food growth rate accelerates to 5% to 7%. The question I have is that is your cost structure for Food is still the right one or you need to actually create a cost structure for a Food business that grows low single digit?
Tove Andersen: Yes. So with our current restructuring program, we are then targeting to reduce the COGS space with €30 million. That will give us an EBITA run rate of 10% to 11% on the current revenue. We are not happy with an EBITA run rate of 10% to 11%. We have ambition to increase that further. Our current view is that the market will come back and there will be a market growth here of 5% to 6%. So we believe that there will be a top line growth to come which will then justify the adjusted cost base. If that doesn't come, we will take additional measures to make sure that we are then addressing again further cost reductions.
Gaurav Jain: Sure. And if I could just follow up, like what would be sort of the trigger point for such a decision to be made that the growth rate in Food is actually not 5% to 6% but 2% to 3%? Like, will it be this year's results? Or would you want to wait for 2 years, 3 years? Like, is there a timeframe around when you would make that decision around what the long-term structural growth rate in Food is?
Tove Andersen: Yes. So first of all, we are very confident that over time that the growth rate will be there on 5% to 6%. So that is sort of -- the question is more about when will it come back. We have done several assessments of this and it's really linked to automation is high on the agenda. But the food business is a cyclical business. It is also a seasonal business. So typically, it goes through cycles but over the cycles, we are very confident that there will be good growth opportunities here. The question is more about when will it come? And will it come next year? Or will it be delayed further? And do we then need to take intermediate measures until that recovery comes. And of course, we are out there in the market. talking with the customers, we know the projects that are -- I thought that are under engineering that are under discussion, etcetera. So we have a good understanding of what's going on. And based on that, we will make decisions throughout this year. If there is a need to adjust our plans or not. And the same, it will be on an ongoing basis.
Daniel Sundahl: And we'll take one last quick question from [indiscernible].
Unidentified Analyst: Just one shot on the group functions. The EBITA on NOK87 million -- minus NOK87 million. Quite a bit more than previous comparable quarters. So how to think about group functions and the cost base there going forward?
Eva Sagemo: Yes. So good question. This is -- so we will have -- if you think about just group functions at the cost base that we have had previous years, we will anticipate a run rate as we have now in Q1 at approximately NOK50 million going into the coming quarters. What you would see in the EBITA of group functions this year, is the elimination effect. So it's kind of like a more technical approach to things and how we eliminate the internal sales between the recycling and the feedstock plants. So we can have a follow-up call to explain that with you later on but it's more technical on the elimination of intercompany sales that you see on the EBITA this quarter.
Unidentified Analyst: Okay. Thank you very much. And I would appreciate the call on that, yes. Thank you.
Daniel Sundahl: Thank you, Kari [ph]. And with that, we have reached the end of the presentation. Thank you, everyone, for tuning in. Next time we will be here is on the 19th of July when we will report our second quarter results. And remember, on Monday, we start taking registrations for our Capital Markets Day. Thank you, everyone. Have a nice day. Goodbye.